Operator: Thank you for standing by, and welcome to the Haivision Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Thank you. I'd now like to turn the call over to Mirko Wicha, President and CEO. You may begin.
Miroslav Wicha: Thank you, Rob, and thank you, everyone, on the call for joining us today to discuss the third quarter of our fiscal year 2025, which ended back in July 31. As mentioned on our earnings call, way back in January, we are now well into our 2-year strategic plan. And now we are demonstrating the company is delivering the double-digit revenue growth, we have been discussing in the past several calls. Our double-digit revenue growth will also help us return Haivision to our historical CAGR growth rate of approximately 20% per year, since the founding of Haivision. The focus this year and the next is all about building high revenue growth. As mentioned, 9 months ago, we have seen the bottom of the revenue curve back in January. Our key fundamental business model for the controller market, which is the move away from being an integrator to manufacturer, has been complete for a couple of quarters now. We are seeing a solid increase in our long-term sales pipeline. Our business forecast is compelling, and we are seeing strong orders and a revenue increase in this market, not just in the U.S. but worldwide. In fact, our poor product revenue in this market has now surpassed our revenue levels, which included all the third-party products such as the screens, which make up most of the deal revenues. As you are aware, we have been investing in many new product development initiatives and introductions throughout this year and some which are yet to come during our fiscal 2026. Now back in May, we also launched an exciting next-generation AI-based hardware tactical edge processor for the defense and ISR markets called the Kraken X1, the KX1 for short. It was extremely well received as it delivers incredible performance of AI-enabled and coding in real time. The KX1 is a ruggedized and AI-capable video processing appliance engineered for demanding ISR deployments, combining real-time encoding, transcoding, metadata processing and NVIDIA powered AI capabilities in a fanless and compact design. Now we expect the KX1 to be available and shipping in volume by the end of this quarter, and should create lots of excitement within the ISR community during fiscal '26 and beyond. We have also successfully showcased our next-generation transmitter platform called the Falkon X2, at the NAB Show back in April. And we are demonstrating it all this week at IBC show in Amsterdam. The Falkon X2 is also planned to be shipping in volume by the end of this quarter. Now the Falkon technology and platform is the beginning of our transition for our entire line of transmitters to advanced 5G private networking capabilities. We have incorporated some revolutionary technologies and create a lower cost structure, which will result in a better price performance and highly competitive product offerings for the future. This is another initiative that will help maintain our healthy margin profile over the long-term. Haivision has also won the prestigious IBC Innovation Award, the past 2 consecutive years, thanks to our strategic role for live 5G video at the Paris Summer Games last year, and we are poised this week to potentially win for a third straight year, which would be a rare feat as we are nominated and featured in the IBC Accelerator program to showcase what's named Conquering the Air Waves private 5G from land to sea to sky. Now this is really a first of its kind workflow, which was proposed by OBS, which is the Olympic Broadcasting Services, [indiscernible] with Neutral Wireless and of course, Haivision. This project looks to take private 5G to the skies, unlocking new creative possibilities by harnessing dynamic mobile connectivity for broadcasters to bring audiences closer to the action, while also enhancing athlete safety and event coverage. Now strategically, the company is landing landmark defense contracts installing large multinational operational controlling deployments, demonstrating clear leadership in private 5G networking and gaining industry recognition for our technology leadership. All these efforts are already bearing fruit as seen from our Q3 results and will continue throughout our fiscal 2026 and beyond. Now in closing, I would like to finish with a time glimpse into our fiscal 2026 direction, which happens to begin in about 6 weeks. Now our plan is to maintain a flat OpEx over 2025, while delivering double-digit revenue growth. This will obviously result in a healthy increase to our overall EBITDA as our cost structure and gross margins are well in control. Now double-digit EBITDA and double-digit revenue growth is what we expect for 2026 and 2027 and 2028 and 2029. This is what we have been working hard towards the past 18 to 24 months. In summary, I couldn't be happier with our Q3 double-digit revenue performance as we reiterate our continued focus and attention on revenue growth and higher profitability. Dan, please continue with the detailed financials.
Dan Rabinowitz: Thank you, Mirko. Good morning, everyone, and thank you for joining us today. On our last call, I described the quarter as the end of the transition and the start of momentum. This quarter, we're beginning to see that momentum show up in the numbers. While there still work ahead, our third quarter demonstrates profitable growth and a stronger foundation for the future. Let's begin at the top line. Q3 fiscal 2025 revenue was $35 million, that's up 14.3% or $4.4 million over last year. Year-to-date, revenue was $97.5 million. That's still 1.9% behind last year, but we've made up a lot of ground since the weak first quarter. Both Q2 and Q3 exceeded prior year levels, closing the gap. Exchange rates, which helped us last quarter normalized this quarter. So unlike Q2, where FX tailwinds gave us a top line lift, Q3 performance came from the business itself. Importantly, revenue from our control room solutions, excluding third-party components has now surpassed last year's levels with those components. For the 9 months just ended, third-party component sales are down to 1/3 of last year's level, and we expect it to remain at that low level going forward. Our recurring revenue from maintenance, support contracts and cloud services continues to be a bright spot. This quarter, recurring revenue was $7.3 million, that's up 12% year-over-year. And year-to-date, it's at $21.5 million, an increase of 12.4%. Recurring revenue now represents 20.9% of Q3 revenue and 22.1% of year-to-date revenue. We continue to expect to see sound year-over-year growth in recurring revenue, as our total revenues continue to build. This is healthy, sustainable growth and because these contracts tend to be sticky, that give us visibility and stability looking ahead. Gross margins in Q3 were 72%. That's 300 basis points lower than last year. The biggest factor was the timing of deliveries under our U.S. Navy contract. On a year-to-date basis, margins are 72.3% essentially in line with our long-term average and only slightly below last year's 73.1%. As we've mentioned in prior calls, some quarter-to-quarter fluctuation is expected based on the timing of Navy deliveries, the seasonality and the mix of products shipped and software-only or virtual machine deployments, which have higher-than-average gross margins. Total expenses this quarter were $24.9 million. That is up $3.1 million from last year. The main drivers were about $900,000 in sales compensation and trade show activity, reflecting stronger selling efforts, roughly $800,000 in additional R&D investments consistent with our plan to add engineering resources for new products and business opportunities. About $500,000 is related to currency impacts from the weaker Canadian dollar and another $500,000 from noncash share-based payments, which can vary based on the nature and the timing of those grants. Adjusting for foreign exchange volatility, operating expenses have leveled off. While trade shows can shift the timing quarter-to-quarter, the underlying expense base is relatively fixed. Looking ahead, fiscal 2026 third quarter brings a significant milestone, the 4-year Anniversary of the CineMassive acquisition, which we now refer to as Haivision MCS. At that point, the technology purchase as part of the acquisition will be fully amortized, reducing amortization expenses by at least $600,000 per quarter or more than half of our quarterly amortization. For the 9 months, expenses totaled $75.6 million. That is up by $8.1 million from last year, but the increase reflects a number of factors. $1.9 million from currency impacts, although FX has stabilized, we've launched hedging programs on euro-denominated assets and liabilities to reduce the Canadian dollar exposure to such fluctuations. And this is going to be in addition to our hedging program for U.S. denominated assets and liabilities as well. $1.7 million of the increase is related to the nonrecurring litigation expenses related to the Vitec case. Although Vitec has appealed the judge's ruling, we have recorded the full liability, including damages, interest fees and trial costs. As a reminder, the award represented just 0.5% of Vitec's claim, a clear victory for Haivision. $1.7 million in incremental sales and marketing, again, primarily related to commissions, but it also included travel expenses and an increasing marketing calendar. And then $1.5 million in operations and support, we had built up our operations and support investments late in fiscal 2025, which continued through fiscal 2025. And then finally, or I should say, in addition, $1.4 million were those planned R&D investments that we conveyed earlier this year in support of new product introductions. And then lastly, $800,000 from non-share -- noncash share-based payments. The higher revenue in Q3 contributed to an incremental $2.2 million of gross profit, but with expenses up $3.1 million, operating income came in at $300,000 trailing last year by about $800,000. Year-to-date, the modest revenue shortfall reduced gross profit by $2.2 million, about 1/3 of which relates to year-over-year margin differences. Expenses had risen by $8.1 million for the reasons I outlined earlier, the result is an operating loss of $5.1 million compared to operating income last year. That's a swing of $10.3 million. We believe, though, adjusted EBITDA gives a clearer view by stripping out noncash and nonrecurring items like depreciation, amortization and share-based payments. So for Q3, adjusted EBITDA was $3.5 million compared to $4.1 million last year. The adjusted EBITDA margin was 10.1%. On a year-to-date basis, adjusted EBITDA was $5.8 million compared to $14.4 million last year. Now much of that decline in year-over-year adjusted EBITDA is tied to our first quarter. Revenue in our first quarter trailed the prior year by $6.4 million, resulting in gross profit trailing prior year by $4.9 million. The result of the revenue shortfall was that adjusted EBITDA in just that first quarter of fiscal 2025 was only $400,000, down $4.8 million from the prior year. That single quarter accounts for more than half the year-to-date gap. I think third quarter performance now demonstrates that we are back on track. We ended Q3 with $10.9 million in cash, that's down $900,000 from last quarter. Key drivers to the decline were a $2 million reduction in payables, a $1 million increase in trade and other receivables, $1.6 million that we spent repurchasing shares, $600,000 in loan and lease repayments and $300,000 in capital expenditures. These were partially offset by the $3.5 million of adjusted EBITDA and a modest $600,000 increase in our line of credit balance. So far, in fiscal 2025, we purchased about 885,000 shares for cancellation for an investment of $4 million. Over the last 2 NCIB programs, we purchased about 1.7 million shares for cancellation at a total cost of $7.6 million. Our credit facility remains strong at $35 million, with only $8 million drawn today and room to expand if strategic opportunities arise. Total assets at quarter end were $139.1 million, a modest decrease of $2.2 million from the end of fiscal year 2024. The decrease in total assets is largely related to the $5.6 million decline in cash, the $3.2 million decline in tangible assets, largely the result of ongoing amortization expense. And these declines were offset by increases in our income taxes and receivable and other receivables totaling $6.2 million. Total liabilities at quarter end were $47 million, that is an increase of $2.5 million from the end of fiscal 2024. The increase in liabilities is largely the result of the $5.7 million increase in the amount outstanding on the line of credit, but was offset by decreases in deferred revenue, lease liabilities and term loans and decreases in other payables. I suppose, at this point, no earnings call is complete these days without a few words about tariffs. So as a reminder, as a Canadian company, our proprietary products are covered by the USMCA trade agreement. So currently, there are no tariffs on products manufactured in Canada when sold into the U.S. Our transmitters, on the other hand, are still manufactured in France and as of August 29, are subject to a 15% U.S. tariff. For now, the impact is limited since transmitter sales into the U.S. are still an early initiative. And we're actively planning ways to mitigate the impact of these 15% tariffs with upcoming transmitter product launches. So for the time being, we intend to stay the course. So to summarize, in Q3, we delivered double-digit revenue growth, solid recurring revenue expansion and stabilized operating expenses. With that momentum, we've returned to double-digit adjusted EBITDA margins. And as growth continues, we're confident in reaching our long-term goal of 20% adjusted EBITDA. Although still in the planning stages for fiscal 2026, we expect overall revenues to approach volumes that will clearly illustrate the operational efficiencies we've discussed on earlier earnings calls. With that, I'll turn it back to Mirko for Q&A, and thank you again for joining us on today's call.
Miroslav Wicha: Thank you, Dan. Rob, let's open up for questions.
Operator: [Operator Instructions] Your first question today comes from the line of Robert Young from Canaccord Genuity.
Robert Young: I thought I'd maybe lead off the question with a question just around guidance for the full year, if that's something that you're -- if I missed it, sorry, but I was hoping that you could update that. Or if not, is that expectation of double-digit growth, double digits EBITDA? Is that something we should be thinking about for this year or next year? Maybe you can put some time line around that, some consistency expectations quarterly, that would be very helpful for modeling.
Dan Rabinowitz: Well, I think we are looking for double-digit revenue growth for 2026 and beyond. I think we're going to be knocking on that magical $150 million number that will actually be able to demonstrate that we can get to that EBITDA margin of 20%, although I just want to caution everyone when we threw out that $150 million number as where our belief would be to be able to recognize that 20%. That was a number of years ago. And that number may have gone up a little bit because of inflation and increased costs overall. But I think that is where we're looking at 2026 at the moment. We'll continue to be growing the EBITDA margin. We'll continue to be growing revenue at double digits, and that should set us up for a very buoyant 2027 and beyond.
Robert Young: Okay. That's very helpful. Second question would just be around the -- if you could give us a little bit of insight into the growing commitments with NATO and where those would map to opportunities in your business? I know there's a number of products, a number of projects and programs that you have running with U.S. government in different ways that might be used by other NATO partners. And so I was hoping you could just maybe widen that out and give maybe a broader explanation of the opportunity there?
Miroslav Wicha: Well, I can probably try to tackle that. I mean I think right now, what we're seeing is definitely an increase in activity within our international group, which includes obviously NATO and The Five Eyes. I think it's still a little bit too early to give any kind of indication, but we're seeing a very good strength in the U.S. as well as all throughout NATO. So it's all positive. We're also, by the way, seeing an increase in activity in just pure security, not just defense related, which is encouraging. So as defense ISR are proving to be strong, we're also seeing it in the cybersecurity, the banking industry, the utilities industry. So within our enterprise sector, where we have a huge customer base for control rooms, that's really picking up steam as well. So we're seeing it in all fronts.
Robert Young: Is there a way to segment maybe give a rough idea of how much revenue today is driven by those end markets?
Miroslav Wicha: Dan, I think that's some dissection, but we don't really go that deep. From a mission perspective, overall, we're roughly about 2/3 of our revenue, right, and 1/3 is our live sports and broadcast. Dan, do you have any other color you can add that?
Dan Rabinowitz: Yes. I think it's -- I think it's a little bit difficult because we're seeing growth in both areas. And so we're not seeing that one area is outgrowing the other in any significant fashion. But I do think that we've been seeing the size of our pipeline growing. Those are the number of opportunities that are in front of us growing and the number of larger opportunities are also growing. So those are our signposts for future backlog and perhaps future sales, I should say, backlog that will eventually result in future sales.
Miroslav Wicha: Yes. I mean the challenge, Robert, we have is that also the challenges, I would just add that within the mission market or the controller market, it's a much longer lead sales cycle, right? So that's very different from all of our other businesses. So it's kind of hard to -- at the moment to gauge exact revenue impact. What we're seeing is we're seeing a nice increase in the pipeline/forecast/bookings, but it translates into revenue a little bit longer than something like in our broadcast sports market, right, or our traditional encoder market.
Robert Young: Okay. That's all very helpful. And then maybe last question for me would just be around the gross margins. I know there was the slight decline. You gave a bunch of drivers, Dan. Like there's one specific thing or maybe like are there a couple of things that might have driven that decline just to be more precise there? And then I'll pass the line.
Dan Rabinowitz: Well, I would say that the timing of the Navy deal was -- had the largest impact on gross margins year-over-year. Sales or deliveries are tend to be a little bit bulky. And depending on which quarter they hit, they can have a big impact or a smaller impact on the business. I think when we were giving guidance before, we believed that most of the deliveries would take place in the fourth quarter. We had significant deliveries in the third quarter that brought down the third quarter margin earlier than what we had expected. So our fourth quarter expectation is that our margins will be a little bit better than what we had anticipated internally, but it doesn't change our overall view that the Navy transaction would impact margins by about 60 basis points for the year.
Robert Young: Great to see the return to growth.
Operator: [Operator Instructions] Your next question comes from the line of Jesse Pytlak from Cormark Securities.
Jesse Pytlak: Just a single question for me. Just hoping to maybe get an update on how the training program is going with your international channel partners with respect to the MCS business?
Miroslav Wicha: Good question. We've actually had several training sessions already in Atlanta, we actually built a professional training center in our facility. And we've been holding nonstop training classes now for the last several months. So it's ongoing. We're getting a lot of people through it. We did try to prioritize the U.S.-based partners in the beginning, but even though they do have reach into international, and we are now starting to see some of the international partners flow through. So it's progressing very, very well. I expect it's going to continue to be booked solid right through for at least the next 6 months because we're already backlogged on the training that's already being requested. So all in all is doing good with our new release 4.4 that we launched. That's what it's all -- the training is all based on. So we're very encouraged.
Operator: And there are no further questions at this time. I will now turn the call back over to Mirko for some final closing remarks.
Miroslav Wicha: Perfect. Well, thank you very much. That was like the least amount of questions I think we've ever had.
Dan Rabinowitz: We gave them all the answers...
Miroslav Wicha: I guess in close -- I guess, so I'd just like to say in closing, again, we're committed, right, to maximizing long-term value for all of our shareholders. And we're confident in our ability to execute on our strategic revenue growth plan and deliver solid growth for the future as promised. And I just want to thank all of our shareholders and analysts on the line today for their continued support of Haivision and look forward to speaking with all of you in around mid-January when we will discuss our Q4 performance as well as our entire 2025 year-end results. So thank you very much, and speak to you in January.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.